Operator: Good evening. This is the conference operator. Welcome, and thank you for joining the Rexel's 2024 Results Conference Call. As a reminder, all participants are in a listen-only mode. After the presentation, there will be an opportunity to ask questions. [Operator Instructions] At this time, I would like to turn the conference over to Mr. Guillaume Texier, Group CEO of Rexel. Please go ahead.
Guillaume Texier: Yes. Good evening, everyone, and welcome to our full year and fourth quarter 2024 results conference. Thank you, first, for making the time to join us and for accommodating the change of date, which we hope, if anything, made it slightly easier for you to be with us today in a busy results season. I'm here with Laurent Delabarre, our CFO, who will be giving you a detailed account of our financials after we've completed a short tour of the main highlights of the last quarter and the full year. And after Laurent's deep dive, I'll come back to discuss our outlook for 2025 and give you a progress update on our strategic road map before we open up for questions. So switching to Slide 3. In 2024, overall, we operated in a market which proved more challenging than anticipated. This is especially true in Europe where a soft economy, a complex political landscape and a slowdown of electrification were as many additional headwinds for Rexel. So that's the environment. But in this context, I'm really proud of the way the Rexel strategy has delivered and the way our teams have reacted not only because it allows us to post what I consider very solid figures, but more importantly, because it allows us to enter 2025 with good momentum. Let us talk about the figures. First, we finished the year at minus 2.4% like-for-like growth, right within our latest guidance update, but obviously below our initial expectations. And to give you a historical perspective, apart from COVID, this is the first negative year since 2016. So in this context, the fact that the EBITA margin landed at 5.9%, exactly where we had forecasted, it's quite impressive. I remember two years ago, many questions being asked about whether we would return back to the 4% range in difficult years. I think you have the answer right there, which is a clear no. On the free cash flow side, we strongly outperformed the guidance, finishing the year at 76% cash conversion. Now let me come back to this important message about 2025 momentum. There are many uncertainties in the market for 2025, but there are three areas in which we have good initial speed, which is always a nice situation to be in. Market share gains, first, in many important countries, allowing us to beat the market. Usually, when the market is softer, solid players tend to benefit, and we are taking advantage of that. Cost savings gains, second, with many projects having been initiated, but not having delivered yet their full year results. We have successfully transformed the difficult year into an opportunity for transformation and the addition of AI tools in the mix has really amplified the potential. This is very exciting for the future, and I'll come back to that. North America; third, as we are harvesting the results of the last four years' expansion strategy in this continent, which is exposed to more favorable trends. First momentum, I was talking about market share. For those of you who follow us closely, you will know that I'm always quite cautious when it comes to commenting market share, firstly, because the data is never totally clean, our intel coming from the combination of customer, supplier and market intelligence. Secondly, because sustaining a competitive advantage in the long run is difficult in our markets, but we now feel confident enough in a series of important countries to say that our win is not only conjunctural but probably also structural due to the continuous investment we have made over the years to offer more value to our customers. We have invested in logistics, but also digital, team expertise and increasingly added value special services as we detailed at length during our last Capital Markets Day. I'm happy to see that data totally backs what we intrusively knew which is that having those blocks right ultimately results in gaining share and in some countries, quite impressively like in France, for example. The next slide zooms on my second momentum, internal optimization, which is pure self-help. On the left, you can see how effective the response has been on headcount. It's only in the first quarter that the volume decline outpaced the FTE adjustment, which followed very rapidly and then continued to end the overall year ahead. On the right, we described the selection of optimization projects we have launched this year to get to this result. Those projects are not details for confidentiality reasons. But let me tell you that they are real, closely monitored and that there are all new projects initiated in 2024. The first important remark is to note that those projects are for many of them structural, that correspond to fundamental optimization ideas we had in mind and have accelerated. Take, for example, the sales force reorganization in Australia to make it more regional. This is exactly that, which means that those savings will not disappear when volumes come back. And the second remark is that some projects have already started to deliver in 2024, but many will ramp up in 2025 or 2026. So in summary, we have taken the opportunity “of the challenging 2024” to gain a few quarters on our strategic road map, and we will progressively see the benefits of that in our P&L. As I mentioned before, thanks to that, we delivered what I consider very solid results. And let's take a step back for a moment and look at our EBITA margin development over time. You can see the structural improvement coming through in the form of increased resilience against the kind of volume and pricing headwinds we've been contending with. 2024 was the first time both of those factors, volume and pricing, have been significantly negative since 2016. And for context, that was a 4.2% margin year. So as you can see, achieving a 5.9% margin against a 2.4% same-day sales decline is a departure from previous patterns. But that's not the end of the story. The structural drivers behind this improvement are still in action. There's plenty more headroom in areas like digital productivity, best practice sharing and targeted M&A as part of a broader portfolio rebalancing. So to put it simply, there is more growth to be done and more to be accomplished here. I wanted to comment also on the last momentum component I was talking about, which is our exposure to the North American market. On this graph, which you will see later commented in more detail by Laurent. You can see the quarterly evolution of our sales, which shows a nice positive evolution at Group level. But you can also see on the right that this momentum comes from North America, where we have seen an acceleration of volumes throughout the year with our backlog remaining at a historical high level, and we have finished the year at plus 3.6% for the last quarter growth in North America. And on the next slide, you can see a longer term growth of the growth figures we have delivered, highlighting as well the increasingly important share of North America in our mix because of both internal growth and acquisitions. This proves particularly beneficial at a time when we see good momentum in our three markets in North America: residential, especially in the northwest, we are more exposed to it is now solidly on course in positive territory; nonresidential activity benefits from a good backlog, which is staying at a historical high level quarter-after-quarter; and we think that we are seeing green shoots in the industrial markets, which were a little bit disappointing in 2024. On Slide 9, I wanted to comment on the free cash flow conversion. As you can see on this graph, we posted a very high conversion figure higher than any of the year since COVID. And in fact, it's a historical high, except for 2020, which was obviously very special. This is the result, in particular, of careful inventory management, disciplined credit monitoring and strong CapEx control with 0.7% in CapEx this year. It's not a total surprise, but it's good to see that we are materially higher than our guidance and even higher than our new midterm guidance, which is, if you remember, around 65% of cash conversion. I'll finish with just a reminder of the main figures, which are all in line or better for cash conversion than our latest guidance. In the challenging environment we have operated in, those numbers really demonstrate how Rexel has improved over the last few years. And with that said, I'll hand over to Laurent to comment more in detail on the results.
Laurent Delabarre: Thank you, Guillaume, and good evening to all. Let's start on Slide 12 with the different building blocks of our Q4 2024 sales performance. Our sales of €4.9 billion were up 3.6% on a reported basis. The positive performance achieved driven by the contribution of acquisition for plus 2.1% and the positive actual day sales growth of plus 1%, helped by calendar. The scope impact includes a positive contribution of Talley and Electrical Supply in the U.S. and Itesa in France. And for 2025, we anticipate the scope effect to stand at 0.6% based on the operation already completed, including the disposal of New Zealand signed on February 1. Guillaume will come back to the portfolio subject later on. The currency effect stood at 0.4% in the quarter and is expected to be at plus 1.4% for the full year 2025, assuming spot rates remain unchanged. Slide 13 focuses on price and volume breakdown of our sales by product and by quarter to give you a better idea of our current trends. First, our core ED business, including cable, representing close to 80% of the mix is stable in price and progressing in volumes, contributing for plus 1.1% in Q4 2024, a better performance compared to previous quarters. Second, the electrification market remains challenging, with a minus 1.9% contribution to same-day sales evolution in Q4. And nevertheless, we recorded a sequential improvement compared to the minus 2.4% posted in Q3 2024 which is driven by better price down a limited minus 0.4% and a slight improvement in volume. On Slide 14, Guillaume already commented the accelerated trend throughout the year. Let me comment on pricing and on APAC. First on pricing, as presented in the previous slide, selling price were broadly stable, down 0.1% in the quarter, but more specifically, non-cable selling price, including electrification and core stood at minus 0.7% in Q4 2024, similar to previous quarter and reflecting deflation in solar and piping in North America. The slight improvement in solar pricing was mitigated by the slight deterioration of piping in North America due to lower steel price. Cable pricing stand in positive territory at plus 0.6%, benefiting from the more favorable copper price. Second, and more specifically for Asia-Pacific accounting for 6% of group revenue. Same-day sales were down 2% in Q4 2024. In Australia, sales were broadly stable, supported by industrial markets and notably mining as well as electrification activities such as solar and HVAC. In China, sales decreased by 6.3% in the context of low industrial demand, inventories in the value chain have normalized as reflected in price that improved sequentially. Let's now zoom on Europe and North America. Slide 15, focused on our performance in Europe. Our Q4 2024 same-day sales were down 3.8% compared to minus 4.4% in Q3 a slight sequential improvement mainly from electrification. And more specifically, let me highlight the key evolution of the quarter. The business environment remained challenging, specifically in DACH, UK and Benelux. The DACH region was down 4%, still negative, but improving compared to previous quarter. Benelux was almost down 8% and remained under pressure despite an easier base effect, notably on solar activity. In the quarter, France and the Nordics were the most resilient. In France, we continue to significantly outperform the market in a declining market. And this market share gain is particularly true in nonresidential segment. Nordic stood at minus 1.4%, a better performance compared to H1 2024 notably from an easier base effect on electrification and the first effect of the lower interest rate on residential spending. On Slide 16, we turn to our performance in North America, where same-day sales were up 3.6%, accelerating versus Q3 and confirming the return in positive territories. While electrification was negative due to the industrial automation, the core ED, including cable, accelerated significantly, contributing to plus 5.5% in the quarter versus a 2.9% contribution in Q3 2024. As in the first nine months of 2024, activity continued to be boost by good backlog execution with project activity up in double-digits. And let's summarize the key highlights of our two countries. In the U.S., same-day sales evolution stood at plus 3.4% with growth in all three markets. The acceleration was driven by nonresidential and industrial markets and more specifically data centers, oil and gas and logistics segments. Canada same-day sales growth of 4.4% thanks to the industrial demand and notably in mining and manufacturing. On the next slide, as in previous quarter, we continue to enjoy a strong level of backlog compared to pre-pandemic situation despite a very high level of execution. One more time, high backlog results from the combination of a strong backlog execution driving the growth in our project business and a strong order intake during the quarter. Moving to Slide 18 to show you the sales bridge for the full year 2024 before going to profitability. Our full year 2024 sales of €19.3 billion were up 0.7%, thanks to positive portfolio management impact of 2.7% net of disposal, an actual day evolution of minus 1.9% and a positive 0.5% from calendar. Zooming on the organic part, the minus 2.4% same-day evolution can be broken down between minus 1.5% volume contribution mostly due to Europe, minus 0.7% non-cable price contribution due to a few pockets of deflation in solar and in piping in North America, minus 0.2% cable contribution. On Slide 19, we show you now the building blocks that led us to the adjusted EBITA margin of 5.9% in 2024 versus 6.8% in 2023. First, operating deleveraging impacting our profitability by 32 basis points, reflecting the drop in actual day sales of close to 2% in the year. Second, the impact of 68 basis points at gross margin level, explained by the negative select price evolution and mix in North America with sales growth driven by project activity for minus 25 basis points combined with the commercial environment pressure for 43 basis points. OpEx inflation had a negative impact largely from salary inflation for 32 basis points and other costs for 13 basis points. Overall inflation stood at plus 2.4% in the year. This OpEx inflation was offset by the 47 basis point positive impact resulting from our action plans and more specifically cost savings, productivity gains and better credit management. As an illustration, we have reduced the number of people by almost 750 at the end of December 2024 compared to December 2023. And by geography and similar to the first half, Europe posted adjusted EBITA of 5.8%, down 151 basis points explained mostly by sales decline combined with higher exposure to the deflationary Solar activity mitigated by active OpEx management. North America was more resilient with adjusted EBITA margin at 7%, down a limited 42 basis points, thanks to better top line. On Slide 20, we look now at the bottom line part of our P&L, with a zoom on other income and expense, financial expense, tax rate and recurring net income. Other income and expense stood at minus €258 million, notably including €124 million fine from French Competition Authority against which Rexel has logged an appeal, and that will be paid in 2025. €55 million of goodwill impairment, notably Germany and UK, €33 million of restructuring. Financial expense stood at €208 million higher than last year, resulting from the rise in gross debt and interest rates. It includes €66 million of interest on lease liabilities in integrating Talley and pure financial cost of €142 million. The effective interest rate increased to 4.3% compared to 3.7% in 2023. For 2025, we anticipate stable financial expenses at circa €210 million, including €70 million interest on lease liability taking into account recent acquisitions and €140 million of pure financial expense, excluding one-off and assuming current interest rate conditions remain unchanged. Our income tax rate stood at 46.6% due to the non-deductible expenses including the fine in France and goodwill impairments as well as write-off of deferred tax assets. The normative tax rate stand at 26.2% in 2024, excluding one-off, and going forward, we anticipate the tax rate to be at circa 30% in 2025, taking into consideration the additional tax in France that should be applied for one year only. And from 2026 onward, we anticipate then tax rate to be back to below 27%. As a result, resulting – recurring net income was €662 million compared to €823 million in 2023. Moving to Slide 21. We generated robust cash flow before interest and tax, reaching a high level of €917 million, implying a free cash flow conversion rate of 76%, well above target. This record level of free cash flow generation resulted from our operational results combined with a significant cash inflow from working capital management and more specifically, strict receivable and inventory management. Lastly, the CapEx-to-sale ratio stood at 0.7%, in line with last year. As shown on Slide 22, net debt increased by €522 million, mainly resulting from three factors: first, the €550 million impact from net financial investments mainly for the Talley acquisition, it includes an earnout that has been increased since end of June as Talley delivered performance above expectations; second, the dividend payment related to the 2023 result for €357 million, corresponding to €1.20 per share; and third, share repurchase program for circa €100 million. All this leads to net debt close to €2.5 billion, including earn-outs for €124 million that will be paid in acquisition delivered and promising its expectations, and the indebtedness ratio stand at 1.83 times. Let’s turn now on Slide 23 to our liquidity picture. Our financing is well balanced between receivable securitization, long-term financing, including three sustainability-linked bonds for €1.4 billion and a shoe shine for €200 million issued in June. Our liquidity is now close to €1.5 billion, including the undrawn senior credit agreement, and we have no short-term refinancing needs and no need of renew and no risk on the renewal of the securitization as it is an asset-based financing rolled over every two years. On Slide 24, we present our proposed dividend for 2024 financial year to be paid in 2025. Rexel will propose to shareholders to maintain the dividend at a record of €1.20 per share. It implies a 54% payout ratio on recurring net income, demonstrating our confidence in the model and in our mid-term ambitions. It remains, of course, subject to approval of the annual shareholder meeting to be held in Paris on April 29. It offers a 4.6% yield based on today’s share price. Let me conclude with our carbon reduction achievements and the confirmation of our mid-term ambition. We have further reduced in 2024 the CO2 footprint in both Scope 1, 2 and Scope 3. On Scope 1 and 2, corresponding to our emission in our facilities, mainly our buildings have been cut by circa 8% in 2024. And that put us on track to achieve our 60% reduction target between 2016 and 2030. Scope 3 corresponding to the CO2 in the value chain, it has also reduced by 8% in 2024. And our SBTi validated Scope 3 objective have been redefined to better consider the full environment impact all along the value chain and not only limited to the use of products sold. We target to reduce now Scope 3 emission by 35% based on this new definition between 2016 and 2030. As you may have seen yesterday, I’m also happy to share that we have been upgraded by CDP, and now get a CDP A rating corresponding to the best-in-class limitation. With this, let me now hand back to Guillaume to discuss our outlook and priorities.
Guillaume Texier: Thank you, Laurent. And I will move to Slide 27. Now its the time to comment on 2024 – 2025, sorry, which is just like 2024, a year marked by a certain level of uncertainty. I would firstly say that prospects appear a little bit clearer in North America than in Europe. In the U.S., 2024 was a year of caution when it comes to industrial investment, as many people were waiting for the results of the elections. Now that the environment has stabilized a bit. I expect more willingness to invest, and indeed, it looks like we are seeing early signs of that in our business. Many things about the new economic policy are still unknown, but there seems to be overall more optimism in the economy, which is good. I would also expect that any trend favoring manufacturing in the U.S. would benefit investment short-term, including more protectionism. And finally, remember, there are two trends that I would qualify for Rexel as regional which are going in the right direction: data centers to which we are mostly exposed in the Southeast of the U.S. through our major subsidiary; and residential to which we are mostly exposed in the northwest of the U.S. through Platt and where we are seeing positive trends since a few quarters after having experienced a downturn. So overall, North America is a place where we would expect clearly positive figures, even though the extent of this positive will depend on many things. We are more cautious about Europe for reasons that you know well, slow economic growth, lack of overall confidence and political uncertainties made for a very slow market in 2024, and at this stage, we don’t see a positive trend taking shape. In addition, electrification trends, which constituted a big half in 2022 and 2023 have not recovered. And here again, I cannot honestly call for a rebound at this stage. Now there are some good news in Europe. One of them is the market share gains I was talking about in the first part of the presentation, which should allow us to beat the market once again. And the other one is interest rates, which have gone down and should continue to decrease, which in my book translates automatically after some time in a rebound of construction markets to which we have high exposure in Europe. How long it takes depends on many things, but I would expect to begin to see positive signs in H2. And in fact, we are already seeing slight positive trends in some markets, namely the Nordics. Finally, that pricing is an important parameter in our equation, and here, I expect at this stage, the environment to be slightly more supportive than last year. The early indications from manufacturers are more ambitious than what we have seen last year. The impact of the commodities categories like solar panels will probably be less important than in 2024. And last but not least, there is the uncertainty about U.S. tariffs, which would – which could go only one way, which is additional inflation, which you know is usually a tailwind to our P&L. But to be clear, no tariff is included in our guidance at this stage before we see a little bit clearer. That leads us on the next slide to our top line guidance for 2025, stable to slightly positive, which we have intentionally made cautious because of the uncertainties. And to give you an early information about how the year is starting, we are right there in January, slightly positive on a like-for-like basis, both in North America and in Europe. On the bottom line side, we will see the effect of all the self-help actions we have done in 2024 and also although that we will start in 2025. But we will also face headwinds once again with inflation of our costs north of 2%. And overall, we expect our profitability to be around the 6% mark. There are upsides to this scenario, if we were to see, for example, material positive sales figure or if product inflation was to be higher than what we anticipate. But at this stage, we don’t bet on that. And finally, we have set our free cash flow conversion target to circa 65%, knowing obviously that the exceptional payment to the French Antitrust Authority is taken out of the equation. Beyond those short-term guidance elements, I would like to speak in a few slides about the mid-term targets that we have given last June at our Capital Market Day. We have faced since then market challenges and the legitimate question will be to ask us where we stand and how we feel about those targets. So I’ll anticipate the question. The answer is that we still think we are totally on track to reach them. And let me give you a few details about that. As a reminder, the main targets are the following: same-day sales growth ranging from 5% to 8%, current adjusted EBITA margin above 7% and free cash flow conversion around 65%. I won’t talk about the last one as we exceeded it in 2024 and have set our guidance for 2025 right at the same level. But let me say a few words on top line and on bottom line. Top line, first, is made of four main components, what we could call legacy market growth, rig sales growth over the market, M&A and electrification. We know that legacy market growth is cyclical and 2024 was clearly a down cycle year. We will see what 2025 holds, but it’s pretty sure that at some point, the cycle will come back. Growth over the markets is something we feel more and more confident about. We talked about market share in the initial part of the presentation, and it looks more and more obvious that the complexity of the value proposition that is necessary to match today and tomorrow’s customer demand will progressively challenge smaller players. Moving to the next slide. The third top line component was M&A. – is M&A, and it’s an important lever of our strategy. And this year, it contributed to 2.9% of additional growth, the acquisitions – through two important acquisitions. The largest one, Talley in the datacom space in the U.S. is proving very successful, as Laurent mentioned, both in terms of short-term results and in terms also of synergies with the rest of our business. The same way Itesa in France is a game changer in a specialized adjacent category, which is access control and security in which we were already present, but here, we are acquiring a very strong leadership position. Those two acquisitions, along with the first small one in Florida are good illustrations of where we like to put our money in consolidation in the U.S. and in fast growing adjacent markets throughout the world. Perimeter adjustments go both ways, and we announced today the divestment of our New Zealand operations, where we were generating a little bit less than €100 million in sales. Our strategic review there led us to conclude that we were underweight and we decided, as a result, divest this dilutive business to an American private equity. Moving to the next slide. Electrification, finally, is the last component of our future growth. And here, from an electrification trends perspective, we experienced a challenging 2024. As I was commenting earlier, especially compared to the most bullish scenarios. But the fundamental drivers as we see them are basically intact. And there are good reasons to believe that much of the slowdown in 2024 was temporary. First of all, the wait-and-see posture adopted by economic actors in a multi election year was transient by definition. Same is true for the construction slowdown brought on by higher interest rates, which was another drag to electrification. To support this idea that the electrification underlying trends remain very strong, we selected on this slide two graphs from the latest forecast done by the International Energy Agency. The good news is that this document was issued in the second part of 2024, which means it's up to date from the latest world evolutions. And the global conclusion is that fast electrification is confirmed simply because there is no solution around it. The first graph on the bottom left shows the growth rate forecasted over the next decade of global electricity demand compared to the last decade. And you can see that even though energy demand should slow down, this is not the case for electricity to the opposite. And the second graph on the right is even more interesting as it shows where the electricity demand will come from. You can see that it will come mostly from new users like mobility or heating or data centers. And then because of that, it will also come mostly from so-called developed countries. All of that is quite interesting because those areas are places and segments where Rexel is strong and can be helpful. So overall, yes, electrification is confirmed, because it's not the result of one trend, but the combination of several trends converging, artificial intelligence, sustainability, reshoring are all pushing in the direction of more electricity and more electrical material. Switching gears to the profitability topic on Slide 32. What does this soft 2024 change to our midterm vision? The good news is that the answer is basically nothing. Why is that? It comes down to the element of the profitability bridge we had in mind in June. There are blocks which are linked to market evolutions in the yellow box like volume or inflation. And there are self-help elements which are in the green box. On the first one, 2024 proved soft and 2025, although it should be better, will still be far from what I would consider a mid-cycle situation. But our vision about the midterm landing point for the market has not changed fundamentally. It's just that the timing has become a bigger uncertainty. To the opposite, on all factors which are self-help related, we have clearly accelerated in 2024 and reduced the uncertainties. This is true for operational efficiency on which we are now targeting a 2% to 3% productivity goal in midterm, which is an increase compared to what we have achieved in the past, which was basically 0% in the 2010 to 2020 decade and then 1% since then. This is also true for the perimeter contribution on the acquisition side and also on the divestment side. We just talked about New Zealand, and what we are saying here is that we plan to continue optimizing our portfolio of underperforming assets midterm. Finally, on gross margin, also, we are accelerating our action plans, for example, pricing algorithm or supplier mapping rationalization and concentration. And also on this particular component of gross margin, we are starting the bridge from the year 2024, where gross margin was under a little bit of conjunctural pressure, which is typically the case in a low-volume situation. So it's very likely that beyond the structural projects that we have on gross margin, we will also benefit from a cyclical recovery of gross market – gross margin when the market pick up. So overall, 2024 led us to be maybe slightly more uncertain about the timing of the yellow block, but it also led us to be much more bullish about the potential of each one of the blocks in the green box. And to illustrate that, let me focus on one important acceleration factor, which is technology. On digital, we continue our march forward. And this year, for the first time, we passed the 30% penetration rate. And from the Capital Markets Day that our profitability is broadly correlated with digital. So this is very good news. As a reminder, the correlation is linked to the direct efficiency associated with digital, but it's also due to the fact that digital penetration is a good overall maturity indicator of our countries on many topics like pricing, assortment, logistics, which are necessary to get to digital. And I will come back later to talk a little bit more about this concept of maturity of the countries. But the really interesting thing when we talk about technology this year is the rise of Gen AI. You remember that Rexel got interested in data and artificial intelligence very soon. And we have already many use cases already in operations like churn algorithm, for example. So obviously, we looked at the potential of Gen AI early and with a lot of curiosity. And what we found is that the potential for improving our efficiency, especially the inside self-efficiency is material. Not a game changer, but a clear step forward. Let me take two examples, expertise requests and RFQs. Our people spend a lot of time answering simple technical questions, mostly product definition questions. What if we could help them accelerate their answer through an internal expert chat bot concentrating the knowledge of our best experts. It would allow us to be much faster, to have better customer service and to dedicate more expert time to really tricky questions. On RFQs, our team spent a very large amount of time, matching a very long list of part references with our own references, sometimes by Excel, sometimes by hand. What if we could smartly automate all of that? In both cases, we have developed AI-boosted tools, and those tools are being tested right now with quite interesting results. And overall, we think that we may be able to improve our overall efficiency, productivity by up to 10% if we go at it in an organized way, which is what we are doing. And if you remember what I told you about our productivity figures, this is a potential jump of 5 to 10 years in just a few years. So that's a great opportunity. And in a world where workforce is scarce, especially in our sector, gaining time to be able to dedicate it to more value-added tasks can really become a competitive advantage. So yes, we are still very confident we will reach 7%. And let me finish by taking the same question under a different angle, which is the country angle. The graph you are seeing here shows on the y-axis, the profitability of our 17 countries. And you know if you listen to us in previous calls that the top countries are almost double digit in profitability. And on the x-axis, a more qualitative concept, which is the maturity of the countries. We have evaluated indeed each one of our countries on several maturity criteria through batteries of questions touching on each important area of B2B distribution: logistics, purchasing, digital, pricing, services, you name it. Not surprisingly, you can see that the most advanced countries are also the most profitable. You can also see that the correlation is not perfect. For example, the U.S., although being at the beginning of the better category in terms of maturity is already quite profitable. But the interesting conclusion of this graph is the potential that it highlights. We think we can progress the profitability of the goods and of the better countries by intensifying the best practices sharing with the best countries. And this is what we have started to do in the last three years through specialized working groups and through a management organization by cluster. This standardization effort doesn't require us to invent new ways of doing businesses, it just requires us to apply what we already know, taking the necessary time to adapt it to the local environment, but basically copying it. And you can see that the potential, especially in what I would call the turnaround countries is quite important. When we do simple math on this graph, we can easily convince ourselves that the potential right there is big, high double digits in bps or even triple digits in my best dreams. It will take some time to unlock without breaking engagement of our people, but it is very feasible and it is another way to give ourselves confidence that our midterm goals are indeed very reasonable. So to conclude our presentation with a few final thoughts before we open it up for discussion. On many counts, 2024 was a stiffer test for Rexel than initially expected, against which the company proved its significantly improved resilience, thanks to a transformation strategy that still has plenty more to give. Despite the North America rebound and signs of improvement in Europe, the economic environment remains uncertain for 2025. We are responding with accelerated actions on cost and other levers to stay on growth and be optimally fit for the recovery when it comes. And finally, all the building blocks are in place to achieve our midterm goals and the progress achieved so far has only increased our confidence, which is, by the way, also the reason as Laurent mentioned, while we maintained the dividend at the same level. And with that, I'd like to thank you for your time and attention, and Laurent and I are ready for questions.
Operator: [Operator Instructions] The first question is from Martin Wilkie from Citi. Please go ahead.
Martin Wilkie: Good evening. This is Martin from Citi. Just a couple of questions. The first one, you mentioned that you haven't included the tariff impact. But just to read between the lines on what you're seeing. When we think about what happened back in 2018 and other times of tariffs, should we think of this as a net benefit should you get that? So you're not worried about gross margin squeeze, but more the inflationary benefit of tariffs should they be added?
Guillaume Texier: Okay. I'll take this one. Yes, to be very clear, we see that as positive – as a potential upside if it were to happen. I'm not commenting on what the impact would be on the economy, that's very uncertain. But the direct impact on B2B distribution is usually positive of inflation. You have seen that recently over the years 2022 and 2023. And the last time that we had tariffs, indeed, we experienced inflation and benefit to our gross margin. especially in categories like steel-related categories at the time like conduits and piping. And so yes, what would happen in case of tariffs would be price increases from our suppliers when they are exposed to that. I mean, many of our suppliers are manufacturing in the U.S., but some of them are manufacturing in Mexico. So that would be a direct impact. And many of them are importing subcomponents or raw materials from either Mexico or Canada or sometimes China. So that will also have an impact on them. I think they all have plans to increase immediately price if this was to happen, and we have plans to, in turn, pass it through to our customers, which would result in two mechanical effects in our P&L: one is about the inventory that we carry, the value of inventory would increase. And the other one is, you remember that in the way we build our P&L and our profitability we have experienced a little bit of headwind over the last two years, and we are also planning for that in our guidance for 2025 due to the fact that the price components of the gross margin, the price component in the products was lower over the last two years than the inflation in our costs, mainly – mostly the salaries increases. So anything which goes in the other direction is a positive for Rexel, yes, absolutely.
Martin Wilkie: Thank you. And if I could ask a second question just on acquisitions. Is the environment in the U.S. now more favorable for acquisitions? I mean you talked about green shoots in the industrial markets more generally from an underlying perspective. But is that capability of doing deals accelerating as well? And in particular, I was intrigued by your chart on Slide 35, when you show the profitability against currency maturity and how we should think about the need for scale and acquisitions to move those dots up to the top right as well on top of just the self-help. Thank you.
Guillaume Texier: Okay. So is the environment better or worse because the economy is doing slightly better? Look, in my experience, it doesn't change much. It's bumping the price, but it's making also more targets available because nobody wants to sell in a down cycle. So it means that there are things going both directions in terms of ability to make acquisitions. Now this scale particularly important in the graph that I was showing about maturity. The good thing is that the answer is not completely maybe to get to the last few bps, but in reality, when I'm talking about maturity, is a criteria where really pricing excellence, logistics excellence, supplier relationships, excellence, et cetera, et cetera, all things which don't really require scale. Scale is a help, but really, we have examples of smaller countries, which can reach also operational excellence based on that. And that is what is very encouraging with that. And you took the example of the U.S. when you were talking about acquisition. The U.S. is clearly one place where we have good potential because in terms of maturity, you know this history of Rexel in the U.S. We have – we are in the middle of our journey. We are not at the end of our journey, and despite that, you have seen that we have good profitability in North America already. So this is obviously our largest country, and the potential is big there, even without acquisitions. It doesn't depend so much on scale. Scale is a help.
Martin Wilkie: Great, thank you very much.
Operator: The next question is from Alexander Virgo from Bank of America. Please go ahead.
Alexander Virgo: Yes, good evening, gentlemen. Thanks for taking the question. I wondered if I could dig a little bit into the comments around electrification, in particular in North America, and the sort of sequential improvements or developments you've seen perhaps in industrial automation in particular? And then if you could comment on the – I appreciate it's small for you, but the comment around normalization of automation in China as well, that would be super helpful. And then if I could just follow it up with a question around your views on the residential market recovery, and I guess developments you talked about in North America. Things, I guess, have changed a little bit over the last couple of months, and I appreciate that that doesn’t necessarily show up quickly on what you’re seeing. But I wondered if you could talk a little bit about how you think the momentum that you talked about in the Northwest of the U.S. actually ends up sort of manifesting itself through 2025. Thank you.
Guillaume Texier: Yes. So electrification in North America, I mean, first of all, you’ve seen the figures of North America overall. You know that North America is quite exposed to industry and especially to industrial automation. You’ve seen the 3.6% positive in Q4. One of the big drivers in those 3.6% and in the sequential switch from negative to plus 3.6% was industry and industrial investment. Not necessarily on the automation, but mostly electrical products within industrial buildings. Now beyond that, we are seeing more interest, more growth in terms of industrial automation. So we can feel that the activity is moving a little bit more than in the last few months. When it comes to the ISM, I’m sure that you are more documented than me because you follow some of our suppliers, but the ISM has shown – has gone for the first time in many years, in fact, it was a long cycle above 50, which is a good sign also in terms of consumer confidence. Additional thing is at the OEM level, there was at the beginning of 2024 an inventory situation, which is now normalized. So all of that goes in the direction of slightly better trends in automation in North America. That’s what I would comment on. But at this stage, I would still be a little bit cautious because we are early in this trend. So I’m just identifying, really, green shots. When it comes to China, Laurent, maybe you want to comment a little bit on China and what we are seeing in in China?
Laurent Delabarre: Yes. China, the full year is slightly below minus 5% with a complete different pattern between the first quarter where we were very positive in volume and down in price to execute and to normalize the high level of inventory to the last quarter, where the demand is weak. Inventory has normalized, but in a weak demand volume are now down and price are normalizing. So it’s quite, I would say, a low environment for industrial automation and for us. What is good is that we are more oriented around internal consumption of Chinese people than on export industry. So we are quite resilient, and we’ll see what will happen with the tariff today with what is in the market. It is not the 60% that we discussed at the beginning, so it should mitigate the impact in 2025.
Guillaume Texier: And so on residential in the Northwest, Alexander, I mean, unfortunately, I’m not sure I’m going to be able to bring much intelligence to that. As you remember, residential for us in the U.S. overall is a very small exposure located mostly in the Northwest, which means that our science on the broader residential market is limited. What I know by experience and this comment is valid for the U.S. and for other countries is that when you see a decrease of interest rates at some point. And for electricity, it’s a few quarters after, usually, you see a positive impact. It’s almost mechanical. It can be delayed because of this or this specific macroeconomic situation. But at the end of the day, you always see the impact in both directions, by the way. So I’m quite hopeful that this recovery that we have seen in the Northwest of the U.S. for our business is going to be durable. Yes.
Alexander Virgo: Helpful. Thank you.
Operator: The next question is from Daniela Costa from Goldman Sachs. Please go ahead.
Daniela Costa: Hi. Thanks for taking my questions. I have two. I guess, just wanted to go back to the margin guidance of 6%, which is 10 basis points only improvement. But you’re saying pricing slightly better, volume situation slightly better, and you divested also New Zealand, which I guess would have been dilutive. And looking at Slide 5, you seem to have more savings initiatives than last year. So why there’s no acceleration, I guess, if you can talk about what else is the big offsetting factor? And then I have a second one on the free cash.
Guillaume Texier: Yes. The answer is very simple, Daniela. The offsetting factor is the situation in the – what we call inflation gap, which is the fact that the OpEx inflation is going to be a little bit north of 2%. When our assumption on pricing, once again, before tariffs and before we see clearer on the situation is a very limited pricing component positive, but very limited. So this gap is dilutive to our P&L. And we estimate that the dilution to the P&L would be in the order of magnitude of 30 to 40 bps. Now New Zealand, to answer your question, that’s a few bps. We are looking €100 million. So that’s a few bps, that doesn’t offset that. So basically, that’s what you have. You have on one hand, the headwinds of OpEx inflation. On the other hand, you have both the carryover of the action plan that we have launched this year, the new action plans that we are launching this year the gross margin improvement that we have baked in from initiatives and also for normalization of the pricing environment. And a very slight operating leverage due to the top line guidance that we are talking about. So that’s basically what it is. And that’s what makes a bridge between 5.9% and circa 6%. But the big negative, we have to – I mean, the big headwind that we have to handle this year is OpEx inflation. And once again, if the pricing situation is better, then it’s a different story.
Daniela Costa: Kind of in the same vein, but just thinking about free cash, I assume you don’t have much growth on the top line, as you’ve just said. Why would the free cash flow conversion come down to 65% level ex the fine – I understand the fine element, but ex the fine, what is the – is it working capital that you’re restocking? Or is it...
Guillaume Texier: No, no, no, I mean, on that, Daniela, it’s mostly that predicting the free cash flow conversion is a little bit more tricky than the rest of the P&L because it depends so much on the end situation of working capital at the end of the year. And so because of that, we like to take relatively cautious assumptions. But that being said, the cautious assumptions are still an improvement and an increase compared to the typical guidance that we were giving before. But there is no particular reason in terms of inventory, in terms of payables or in terms of receivables. And even in terms of CapEx, CapEx is going to be relatively under control next year. We don’t plan to do big CapEx. We don’t plan to reload inventory. We are at a normal decent level of inventory, and we plan to continue to work hard on optimizing our working capital. So if we can do 65%, if we can do better than 65%, we’ll do it, but we like to do our free cash flow guidance.
Daniela Costa: Okay. Thank you.
Operator: The next question is from Akash Gupta from JPMorgan. Please go ahead.
Akash Gupta: Yes. Hi. Good afternoon and thanks for your time. My first one is on pricing. So if you look at in Q4, you had minus 0.1%, and we had a breakdown minus 0.7% in electrification and then also positive in core ED. Now when we look at pricing going into 2025, can you help us with what sort of your assumed for different bits and pieces? And when we look at copper, it’s largely stable, so probably not big positive or negative on copper side. But when we look at the pricing in core ED and electrification, any thoughts on what sort of assumptions you have assumed in your guidance? So that’s the first one.
Guillaume Texier: Do you want to…
Laurent Delabarre: Yes. It depends on the product. So you’re right that on cable, we don’t bet on cable. So we have a stable anticipation compared to 2024 for 2025. On the commodity, we think that we will be a bottoming up in terms of solar panel. We still have a couple of families that will be deflationary such as inverter and battery. And on the rest, from the survey from our supplier, we feel that we will get on the more traditional product, we’ll get a bit of inflation. So all in all, we should see a slight level of inflation into 2025.
Akash Gupta: Thank you. And my follow-up question is on margin bridge. So I think your first time disclosed this commercial environment, which was 43 basis points headwind for the full year. And when I was looking at first half slides, there was no such breakdown before. So can you provide some insight into how does this headwind from commercial environment breakdown into first semester and second semester? What I’m trying to get out is whether you have seen increased headwinds in second half? Or is it same in first half? And maybe any color on what are you assuming for 2025, because when I look at some of the moving parts, your guidance looks a bit conservative. And I want to understand whether this commercial environment is something that is offsetting some of the positives that are there in the bridge. Thank you.
Laurent Delabarre: Well, we split it into on the full year because we had a more granular info on deflation and on the business mix in North America, which is a first block of 25 basis points. And the deflation is a one-time effect that should fade away going into next year. The rest is a commercial pressure. It’s the competitiveness on our country. It’s more intense in Europe than in North America. But I would say that the intensity is an overall balance between H1 and H2. There’s no big differences.
Akash Gupta: Thank you.
Operator: The next question is from Max Yates from Morgan Stanley. Please go ahead.
Max Yates: Thank you. Good afternoon. I just wanted to ask about your Slide 35 where you lay out the different sort of the good, better and best-in-class businesses. And I guess I was just wondering, I mean, if you move some of those kind of good, the 10% of sales into the kind of better category, how much of an uplift could that be on your margin? And maybe as an extension of that, I mean how long does it take to introduce that? And how long are you prepared to give some of those businesses? I mean, I obviously saw New Zealand, the decision there today. I mean are those other sort of 10% on the table being strategically reviewed? Or do you give it kind of two years to turn around? And how quickly do you think you can do that?
Guillaume Texier: Sure. I mean, first of all, to give you – I mean, first of all, we are reviewing every country every year in terms of strategic review. And not only is the least profitable of them. That’s the first thing. Secondly, those countries are in turnaround mode, which means that there is a bigger number of projects taking place in those countries to restore profitability in a very, very active way monitored on a weekly basis by the top management, et cetera. Now I guess the criteria for me – I mean the third element of answer, what we are talking about in terms of potential is clearly triple digits in terms of bps on something which is 10% of group sales. So I mean you can do the math, but it’s clearly triple digits, the ambition that we have in a few years if you want a timeframe. Now for me, it’s a great area, it can take sometimes a little bit long because you know that in our business, there is a circle, you need to restore the sales momentum to do that, you need to have the right people to restore engagement. And then you can work on optimizing a little bit better. I think that in most of those countries, we have restarted the engine, which means that we are in good sales momentum. So we are in good shape, and we are on the right way. It can take a few years, not decades, for sure, but a few years. And I would say what is very important is that we have a plan and that we follow it up with [indiscernible] which we are doing. So in terms of value creation, you’re right to highlight those gray countries in a way because they are where the largest opportunity lies. And the interesting thing is that the recipes are well known. We know how to be good in the country. Now turning around, changing the habit sometimes changing the people can take a little bit longer, but the playbook is very well known.
Max Yates: Okay. And maybe just a quick follow-up. Would you be able to give us a feel on your electrification business, what you’re assuming for 2025 in terms of growth? And I guess just sort of qualitatively, if I look at the sort of big building blocks, automation, HVAC, solar, EV charging. I mean are they all going to be down? Are you seeing kind of green shoots in any of them? And what sort of magnitude if we put them all together, would you think about for an electrification decline in 2025?
Guillaume Texier: Look, I mean, on HVAC and solar, we have no particular positive outlook for those two activities. We may have surprises, especially on the HVAC side. But I think it’s way too early, especially you know that our exposure to those categories is mostly Europe. And in Europe, the overall political context is not that favorable to that. So – and on automation, which is a big industrial automation, which is a big category also. Yes, we have more positive prospects. So that’s what I would say overall. No big ambition in terms of EV and HVAC, higher ambition in automation. And I could talk about, I mean, if we take electrification, that would be limited to that. But if we extend to what we have called at the Capital Market Day acceleration businesses. You have also datacom, on which we have higher ambitions for 2024.
Max Yates: Okay. And maybe in aggregate, I mean, any guidance on sort of what the total portion could do in 2025 within your guide?
Guillaume Texier: I don’t have the figure in mind, but we were at 21% of our businesses in electrification last year. I think it’s going to remain more or less in line.
Max Yates: Okay, understood. Thank you.
Operator: The next question is from George Featherstone from Barclays. Please go ahead.
George Featherstone: Hi, good evening, everyone. I wonder if you could just give a little bit more color on the market share gains that you talked about, maybe by category or different geographies that you’ve seen those in?
Guillaume Texier: Not really looking – I mean there is one country where we have a relatively precise and accurate information and market share, which is France. And here I would say we are gaining market share in all categories of customers and in all markets. In other countries as I was mentioning during my comments, the information about market share comes from information through customers, through suppliers, competitors, when they are listed or when they have to publish social accounts. And so because of that, the degree of additional information by segment or by type of customers is very difficult to grasp. Let me tell you that this market share, at least one thing, which is that I’m absolutely sure that this market share is not taken by price. That’s not something that we do usually. We try not to do that. What we want is to take it by added value, which means that it’s a combination of the main components of the added value, which starts with a traditional added value of distribution, which is pure logistics and having the product in the right time to the customers, but which continues with expertise with value added services. We talked at length about that at the Capital Market Day. And I think our investment in value added services is starting to pay off. And it’s also very much about people, about the teams, about having the right people, the right salespeople, the right contact to the customer. So that’s a combination. There is not one magic factor which would allow us to do that. But when the combination is right, you enter in a good virtuous circle, which we have done in several countries. And so I’m happy to report on that.
George Featherstone: Okay. Thank you. And then just one on the top line guide, maybe by the phasing of how you expect to kind of get to growth for the year. It sounds from your commentary like you expect Europe still to be pretty tough in the first half. So should we expect this to be more of a second half delivery in terms of maybe growth and return to volume improvement?
Laurent Delabarre: Yes. Yes. In the way we see it is what – on the top line side, we see that it should gradually rebound in the course of the quarter having more top line in H2 than in H1 with interest rate easing.
Guillaume Texier: With that being said, January is a short month but it was slightly positive in both regions. So yes – but yes, it’s slightly back end loaded in terms of top line, especially because of Europe and especially because of what I said in Europe. In Europe, what is included in this guidance is the beginning of a rebound in the residential segments in the second half of the year. For North America, we think it’s going to be much more regular. And actually last year was very regular – I mean actually last year was – we saw a rebound at the end of the year, but we think it’s going to be relatively regular.
George Featherstone: Okay, thanks. Just to pick up on one thing, you just said. Did you say January was up for both Europe and North America?
Guillaume Texier: Yes. I said that January – our January figures like-for-like were positive, both in Europe and in North America.
George Featherstone: Okay. Thank you very much.
Guillaume Texier: Thank you.
Operator: The next question is from Eric Lemarié from CIC. Please go ahead.
Eric Lemarié: Yes, thanks. Guillaume, thanks for taking my question. I’ve got two. The first one regarding your target of a stable to slightly positive same-day sales growth. What do you have in mind in term of acquisition impact on this guidance? Or is it just a carryover from last year acquisition? Or do you have some additional contribution of acquisition as well in this guidance? And the second question regarding data center, do you think you can further expand your exposure to data centers M&A, for instance? Or do you think or do you consider that it will not be the case because the products for data centers are not much distributed? Thank you.
Guillaume Texier: So the first one, is the answer, I mean I take the easy answers, the easy questions. So the first one is like-for-like. So it means that there is no perimeter in there. Now we intend to continue to make acquisitions. There is going to be the negative effect of New Zealand, but all of that is like-for-like. On the second one on data centers, yes, we plan to expand. I mean, first of all, because the market is expanding. I think all these studies I’ve read is that the market is expanding double digits. And we have an exposure which is mostly in the U.S. and which is a few hundred [ph] million as we have reported several times. In the U.S., part of the data center market is distributed. It’s not by data centers, but certain products in the data center are distributed and certain larger products in the data centers, more medium voltage transformers, switchgear, et cetera may be less distributed. But there is an opportunity for distribution in data center in the U.S. and so there is a possibility of us expanding out of our traditional footprint on this category of customers, which is the Southeast, larger in the U.S. We are going to do that mostly organically. If we find an acquisition which would be relevant, but we don’t have one in mind, we will do that. But I think the effort is going to be mostly organic. In Europe, data centers are less distributed, but there may be an opportunity on the edge data centers rather than hyperscale data centers. So it’s going to take probably a little bit longer to develop.
Eric Lemarié: Thank you.
Guillaume Texier: Thank you.
Operator: The next question is from Miguel Borrega from BNP Paribas Exane. Please go ahead.
Miguel Borrega: Hi, good afternoon, everyone. Thanks for taking my questions. I’ve got a few. So first, in Europe, if we look at the Q4 trends, it doesn’t seem that either pricing or volumes are yet rebounding. You talk about January like-for-like up in Europe. If you could specify if that’s volumes and/or pricing? And then if we look at your adjusted EBITA margin in the second half, in Europe specifically, it was 5.5%. So if we exclude COVID, this is the lowest on record since 2016. I see that you have also impaired Germany and the U.K. below the line. So if you could give us some background on those as well, please? And do you expect these measures to already stabilize the margin in the first half of 2025? Or could we see this margin of 5.5% further down into the next half?
Laurent Delabarre: The first one on Europe. As you have seen in the second half, the top line is very shy. It’s minus 2.8%. And on that, we have quite some headwinds and this is a commercial pressure on margin that I commented. So we are lower by 50 basis points on the gross margin. And on the other side, we had a lot of – most of the restructuring plan we discussed in October that are kicking in gradually in Europe and start to pay off in the second quarter. But at the end, you’re right that Europe is posting a 5.5% EBITA margin lower than it was one year before. But this is a low point. And what we have is in – we have the carryover of all these action plan that will benefit to 2025. And we have a couple of other actions also on margin, which will help us to recover and obviously, our hypothesis also is that the top line should help. So we’ll have a better growth also.
Miguel Borrega: Yes. I’m just trying to understand the mix between Europe and North America in 2025, if you’re guiding roughly for flat margins. It seems like North America was broadly flattish. Europe, not so much. So if you expect growth to continue in 2025 for North America, that margin should be up slightly. That would mean that for you to get to the 6%, Europe would be down as well. Is that correct?
Laurent Delabarre: No, we will continue to progress and there are other platform, and then the other [indiscernible]. But overall, both our platform will gradually improve from the 5.8% EBITA that we are foreseeing in the second half to reach the guidance.
Miguel Borrega: And then in terms of pay rise and OpEx inflation, can you quantify how much that was in 2024 and how much you are expecting for 2025, please? Just wondering if we could see the same 45 basis points that you show on the bridge for 2024 into 2025.
Laurent Delabarre: Yes, yes. It’s about the same impact. We had 2.4% overall top line OpEx inflation in 2024, and we will have about the same or slightly less in 2025. And that is making of pay rise. It was a bit more than 3% in 2024, and it should be slightly lower in 2025.
Miguel Borrega: Thank you very much. And then last question, just a clarification on that bridge. What you mean by the 43 basis points of headwinds from commercial environment and then also the business mix in North America. If we – if you could give us more color on those two, please? Thank you very much.
Laurent Delabarre: Yes. So the commercial margin is really the pressure on the field and the competitive environment, where we have at one moment to play on the margin to get the business. So that is always in the market, and you can gain or lose, but we have a bit more intense situation this year. And on the business mix is the fact that in North America, we have direct project sales that are at lower margin and that have grown faster than our wireless business this year. So at the end, impacting the bridge. So that’s one part of the 25 basis points. I would say a bit less than 10 bps on that. And the rest is mostly the one-off deflation we had in couple of categories of products such as the solar product, for which because of our inventory, we have a kind of one-off kind of write-off that will not repeat next year. Hello?
Operator: Mr. Texier, I would turn it back to you for closing remarks.
Guillaume Texier: No. Thank you. I mean, no particular additional remarks. As I said, we have solid results. You understand that we’re entering 2025 with momentum internal and with caution some external momentum in North America. So confident about the guidance that we are putting forward, and we’ll see you at the call for the first quarter to comment on the sales. Thank you very much.
Operator: Ladies and gentlemen, thank you for joining. The conference now over. You may disconnect your telephones.